Operator: Good day, everyone, and welcome to The Williams/Williams Partners First Quarter 2016 Earnings Conference Call. Today's conference is being recorded. At this time, for opening remarks and introductions, I would like to turn the call over to Mr. John Porter, Head of Investor Relations. Please go ahead.
John D. Porter - Head-Investor Relations: Thanks, Doug. Good morning and thank you for your interest in Williams and Williams Partners. Yesterday afternoon, we released our financial results and posted several important items on our website. These items include yesterday's press releases and related investor materials, including the slide deck that our President and CEO, Alan Armstrong, will speak to momentarily. Our CFO, Don Chappel, is available to respond to questions. And also, we have the five leaders of Williams' operating areas with us: Walter Bennett leads the West; John Dearborn leads NGL & Petchem Services; Rory Miller leads Atlantic-Gulf; Bob Purgason leads Central; and Jim Scheel leads Northeast G&P. In our presentation materials, you will find an important disclaimer related to forward-looking statements. This disclaimer is important and integral to all of our remarks and you should review it. Also included in our presentation materials are various non-GAAP measures that we reconcile to generally accepted accounting principles. These reconciliation schedules appear at the back of the presentation materials. Over the past many months, we've taken many questions related to the merger between Williams and Energy Transfer. The focus of our call today is our first quarter results and business outlook, so we're not going to take questions on the pending merger or other related matters. With respect to the pending merger, I will mention that the Williams' board is unanimously committed to enforcing its rights under the merger agreement entered into with ETE on September 28, 2015, and to delivering the benefits of the merger agreement to Williams' stockholders. Williams is committed to mailing the proxy statement, holding the stockholder vote and closing the transaction as soon as possible. As always, please feel free to contact our Investor Relations team for questions you may have, and thank you in advance for your cooperation on that. There are lots of calls today, so we're planning on keeping our call to about an hour. If we miss any of your questions, feel free to follow-up with Investor Relations later on today. And with that, I'll turn it over to Alan Armstrong.
Alan S. Armstrong - Chairman & Chief Executive Officer: Great. Thank you, John, and good morning, everyone. Thanks for joining us. We do appreciate what a busy morning it is and so let's move right on to slide two here. First of all, our first quarter 2016 results certainly underscore the strong fundamentals of our fee-based business model, and we're excited as Williams to play a critical role in getting abundant low-cost North American natural gas into the growing markets and delivering volume-driven growth to our stock and unit holders. In fact, we're pleased to say that on an adjusted EBITDA at Williams for the first quarter was up 15% over last year and up 16% at WPZ. And this was despite a number of smaller non-cash expense items that totaled approximately $17 million that we did not adjust out of this calculation. The WPZ DCF performance was up 14% to $739 million in the first quarter, giving us a coverage ratio of 1.02x at PZ, excluding the benefits of the IDR waiver. This quarter is especially noteworthy as it marks the 10th consecutive quarter that we've delivered year-over-year increases in what we now refer to as adjusted EBITDA, or its predecessor description, segment profit plus DD&A. Throughout the business we've continued to aggressively manage our costs and align our work force with the realities of low commodity prices and reduced producer activity in the supply basins. And we made additional tough decisions at the end of the first quarter, which included reducing our overall work force by 10%. But even with market headwinds, our focus on fee-based revenue has allowed us to product strong cash flow despite a 16-year low in NGL prices. And as we look forward, it is exciting to see all of the natural gas demand-based projects ramping up as they will be a major part of our growth going forward. We expect continued growth from our portfolio of large-scale demand-driven projects and our fully contracted natural gas transmission business coming on in the balance of 2016, 2017 and 2018. And in this period towards then, we'll begin to pool on the supply basins that we are already so well-positioned in today. Now, we've talked a lot at Williams about the unique position between prolific supply basins and the tremendous demand pool markets that we serve, especially along the Transco system, but we're not the only ones talking about it. In fact, SNL Financial published a story just this week and encapsulates the great position we're in. The headline is the Southeast's growing appetite for natural gas will change market structure. And that probably sounds familiar if you've been following Williams for a while. And as this article points out, more than 50% of the supply in the Southeast currently comes from the Gulf, but that the Southeast will experience significant demand increases here in the near future and all the way through 2030 when a whopping 60% of the power generation will be fueled by natural gas. And if you look at the geography of this demand pool, it's hard to miss the fact that our Transco system runs through the heart of this area. And to bring this tremendous market demand growth story back to the nearer term, we said at our Analyst Day presentation last year that we've already captured more than a third of the 22 Bcf per day of demand increases along the Transco corridor, forecasted between 2015 and 2025 by Wood Mac. And to continue meeting this demand, we've announced plans last year to increase the capacity on our Eastern interstate from 10.8 Bcf per day to more than 17 Bcf per day by the end of 2017, and that by 2017, we expect to double the capacity of the Transco system from its 2010 level. So as you'll see when we discuss our projects in this presentation, Williams is strategically positioned like no other company in the natural gas sector to meet this tremendous demand pool and experience significant fee-based growth. As we move on to discuss the quarterly performance in our operating areas, I want to remind everyone that this is the first quarter in which we've consolidated our legacy Access operations in the Marcellus and Utica into our overall reporting for the Northeast gathering and processing, and we've moved the remaining legacy Access areas into what we now call the Central Operating Area. With that, let me highlight some of the drivers of our solid performance in each of the operating areas this quarter. First of all, once again, the Atlantic-Gulf is delivering strong results as we capture more and more demand fees for providing natural gas transmission capacity on the Atlantic-Gulf systems. Adjusted EBITDA was up $64 million to $399 million over the first quarter of 2015. And this came from – really from two primary areas. First of all, we saw $28 million higher fee-based revenues from higher transportation revenues on Transco. And these were associated with various expansion projects that came on during 2015. And then, in another $28 million higher proportional EBITDA from our Discovery system and our Discovery system continues to benefit from the great successes that producers like Anadarko and Exxon have had in the Keathley Canyon area. And of course, that feeds into our large Keathley Canyon Connector system that we brought online in 2015 as well. We'll touch on this a bit later, but you'll see that the hits keep coming for the Atlantic-Gulf in terms of successful permitting activity and bringing growth projects online. Additionally, the bulk of our growth for the balance of 2016 will come from the Atlantic-Gulf, with three new projects coming online over the next three months. Our Central Operating Area, which I mentioned now includes legacy Access operations outside of the Northeast, reported adjusted EBITDA of $226 million for the first quarter of 2016. And this was compared with a $218 million for the first quarter of 2015 as we repositioned those assets. Revenues were virtually flat year-over-year, while lower expenses drove the improvements. The $226 million represents 100% fee-based businesses with essential infrastructure in large scale natural gas basins in Texas, Louisiana and Oklahoma. In the NGL & Petchem Services area, we reported an adjusted EBITDA of $57 million for the first quarter compared with $7 million for the first quarter of 2015. Although olefin margins started off very low in January and February, they really rebounded in the month of March, and as crude oil prices improved and many ethylene crackers began going offline for maintenance in late March and in April. So we continue to enjoy nice margins here in the second quarter. The increase in the first quarter of 2015 adjusted EBITDA was due primarily to $60 million higher olefins margins at Geismar, with a full quarter of production compared to very intermittent production that we experienced in the first quarter of 2015. I would also note that the adjusted EBITDA in this segment for PZ included $16 million unfavorable foreign exchange activity in the period as well. In the Northeast G&P, we reported an adjusted EBITDA of $219 million for the first quarter of 2016 and this compared with an adjusted EBITDA of $196 million in 2015. And these results improved primarily due to a $16 million increase in fee-based revenues driven by gathering volumes, primarily in the Utica, and $13 million higher proportional EBITDA from our equity method investments. And this was mostly due to our increased ownership in the Utica East Ohio system. Price-related shut-ins averaged 900 MMcf a day for the quarter. This is always something people have a strong interest in, so we estimate we had about 900 MMcf a day. That was not 900 MMcf a day every day, but on average. We saw some worse days and some better days in that as producers turned production on and off responding to both load and prices. These shut-ins were seen across the Bradford County areas, the Susquehanna area and a significant revenue impact felt in the OVM area. But I would like to speak to the fact that this really does represent a great growth opportunity for us without any additional capital spending, so the gas is there, the infrastructure is there. And as debottlenecking continues in this area, we'll see that cash flow come back on. One thing to note is just recently we completed our New York loop that feeds into the Millennium Pipeline. So this was our segment previously referred to as the Laser Pipeline that we acquired and we did complete a loop. And, this, along with the compressor addition at our Dunbar Station, should add about 140 MMcf a day of incremental capacity this year that will provide for takeaway. There's a number of other small improvements like that going on as people debottleneck their takeaway opportunities out of this area. In the West, our performance this quarter was stable by any measure as we've been focusing on cost control to offset the significant decline in unit NGL margins that fell from $0.34 per gallon in the first quarter of 2015 to $0.22 per gallon in the first quarter of 2016. Margins did improve dramatically at the very end of the quarter and we continue to enjoy much better margins here in the second quarter. To be clear, our West group continues to post remarkably steady EBITDA despite a challenging environment for our producing customers in the Rockies and 16-year low NGL prices in the West. Overall, we think our commodity exposure represents significant upside as prices rebound. And the Rockies are very well positioned to respond to growing natural gas and ethane demand as well. So let me move over to slide three now and talk about our growth projects. And certainly I'll start this off by noting there's been quite a bit of media coverage around the State of New York's denial of our 401 Water Quality Permit with the Constitution Pipeline. We obviously don't agree with the decision and believe that there was significant amount of politics involved that went into that decision. Some of the resulting media coverage certainly echoes that sentiment. We work hard to do things right by the environment and we work hard to cooperate with regulators and land owners. And so we're always disappointed when those efforts where we really do try to do the right thing seem to be ignored. The Constitution partners are assessing the path forward and we're committed to building this critical piece of infrastructure. It's certainly important to economic development and jobs in Upstate New York, and a reliable supply of natural gas is critical if New York is going to continue its transition from coal-fired power generation to the natural gas use. It's also critical if the entire New England region is to benefit from U.S. natural gas as it also transitions away from retired nuclear plants and coal-fired generation. However, while the recent headline may have been about Constitution and the state permitting process in New York, we've been making significant progress on a number of projects during the period. First of all, the Transco Garden State project, we did get FERC approval for this 180 MMcf a day expansion that'll serve a local distribution group in New Jersey. Also, the New York Bay Project, FERC issued an environmental assessment for this 115 MMcf a day expansion. And that is expected to come on in the fourth quarter of 2017 as its in-service date. Moving to the South then for a minute, the Transco Dalton project, which is a major expansion into some natural gas-fired power generation in Northern Georgia, the FERC issued an environmental assessment for 448 MMcf a day expansion, and that is also a 2017 in-service date. On Northwest Pipeline, our Kalama Lateral, we did receive a FERC approval for a 320 MMcf a day project to serve a proposed methanol production facility in that area. And moving back to the South on Transco, the Hillabee Expansion, which is an expansion on our system that will serve the Sabal Trail pipeline to the south. That project was also approved and construction will begin on that soon. In the Gulf East, we reached agreement with Shell and Nexen to provide deepwater gas gathering services to the Appomattox development. Really excited about that project and the team's done a great job of keeping that project very low risk to us and taking advantage of our rather expansive infrastructure in the Eastern Gulf of Mexico. So great work by the team there and a great piece of business we'll pick up there that is very low risk, given the existing investments we already have there. On the Canadian offgas processing, the Horizon offgas project was fully placed in service in March of 2016. And that project has continued to run very well and so congrats to the team on there for bringing that up online. I would note that despite the fires in the Fort McMurray area, and I'll just say we are doing everything we can as Williams to help out the community and our employees in that area from that tragedy, but I would say that the CNRL-Horizon plant remains online in that area. Williams has a strong proven track record of permitting approvals and we continue to make significant progress across our entire portfolio of projects. One of the reasons we've been successful is that we've been able to work alongside governmental agencies and community partners to support environmental mitigation and cultural preservation where we have operations and are building projects. And in fact, New York is no exception, where just last week Williams was awarded the Lucy G. Moses Preservation Award for our work to restore historic hangars at the Floyd Bennett Field on Long Island, which now houses metering and regulating facilities that are part of our Rockaway Lateral project. In fact, this award is the highest honor given for historic preservation in New York and provided a win-win solution for both Williams and the National Park Service, which has been trying for years to fund this restoration. So all-in-all, I think the list we've just reviewed demonstrates our continued strong execution on putting growth projects into service and let me touch on a few that are coming soon beyond that. First of all, on Atlantic Sunrise, we're excited that Atlantic Sunrise is targeted to receive its draft EIS from the FERC this month. It's a project that's going to help unlock tremendous value in the Marcellus like never before to serve growing demand markets. And it's on track for receiving its state and federal permit and clearances. And in fact, really important note here, it has already received its 401 Water Quality Permit in Pennsylvania. So this project is – really, the pipeline part of this project is all in Pennsylvania and we have received the Water Quality Permit, same permit that has us held up on Constitution we've already received in Pennsylvania. So appreciate the great work by both our permitting teams on that as well as the cooperation we get with the State of Pennsylvania. In a project we call Rock Springs, which is a new power plant that we're serving, that construction is going to be complete late this month and commissioning will happen very soon after that. This will be in service – placed into service because of the customers' needs being on August 1 of 2016. So our construction on this project is actually significantly ahead of schedule of the planned ISD. So congrats to our team on that project and that is another significant power plant load that we've picked up there in the Maryland area. Kodiak tieback, this is the fourth third-party tieback to the Devil's Tower platform and it did achieve its first oil on schedule in the first quarter of 2016. However, due to some higher pressures in the reservoir, they've currently – the producer has shut that in to accommodate putting in some more robust production facilities to handle this impressive reservoir, and we expect that to restart – or that restart to expect here in late May. On the Gunflint tieback, a really large important project for us, and we expect first Gulfstar One – this first Gulfstar One tieback to commission in June. The work is actually going on as we speak there during the month of May and so we'll be turning that back over to the producers here in June for commissioning. This is going to contribute significant cash flow growth as this big tieback for Gulfstar comes online. So with that, let's move on to slide four. Our pathway to growth in our fee-based cash flows is very clear as it is dependent upon a large number of already contracted large-scale projects serving the growing market for natural gas. For 2016, the major projects are already largely constructed, with final commissioning activities occurring here in the second quarter, as I just mentioned. And so, just looking at the changes here from 2015 to 2016, first of all, we're going to get the benefit of the full year contribution for projects that came on during 2015. You see that list on this slide. We also then have the Rock Springs project that I just mentioned, Gunflint, Kodiak and the CNRL-Horizon project, which is already online, contributing here into 2016 as well. In comparing 2016 to 2017, further growth's going to come from all these projects being on for a full year, plus the Dalton Project, which is the very large expansion in the Northern Georgia; the Hillabee Project that serves Sabal Trail; the Gulf Trace Project, which is under construction right now; and as well as various G&P expansions, particularly in the Northeast. As we look into 2018 versus 2017, you would see the full year contribution of those projects we just mentioned as well as partial contribution from the projects listed here. And probably in 2018, we would expect as the pool comes from some of these large projects that would come on in 2017 like Atlantic Sunrise, we would then expect large pool to start to occur in our supply basin. So really excited to see that area that we've worked so hard to position ourselves really come alive into 2018, as the natural gas demand starts to affect those areas. Beyond 2018, we certainly would have a long number of projects that we're continuing to develop. And you can see some of these here that are already fully contracted; the Gulf Connector, a project to increase – sorry, the Gulf Connector, which is an LNG project, and then another project to increase reliable service in the New York City area that we're really excited about and we'll have more news on that in the not-too-distant future, and then our Hillabee phase two. Moving on to slide five, going to sum things up today. Our first quarter results really demonstrate the resilience of our strategic focus on natural gas. Approximately 93% of the WPZ's gross margin year to date is coming from fee-based revenues and we expect that number to continue to increase. Significant new assets are supporting strong cash flow growth. And while investments in our growth continue across all these areas that we've mentioned today, we certainly are continuing to see growth in the Atlantic-Gulf segment via the Transco expansion and sequential growth in the Marcellus and Utica volumes, which are constrained by market access, but again, we're ready to drive huge growth there because we've already invested in all the major infrastructure in that area. So you should expect to see less and less capital investment in that area, but poised for growth as the demand projects begin to unlock the power of that basin. So once again I'd like to make a specific point about the connections between Transco and the Northeast. Everyone familiar with natural gas knows that Transco has always delivered gas from the South to the North, but that to really unlock the vast supplies in the Northeast, its flow will have to be reversed in many areas. And this is a point made in the SNL article that I mentioned earlier. Reversing this flow is exactly what we did in 2015 with the Leidy Southeast expansion and particularly at our Transco Station 180. It's exactly what we're doing today and it's exactly what our growth projects will continue to exploit over the next few years. And as these projects unlock the tremendous value of America's natural gas resources, they're going to continue to drive volume-driven growth for Williams and our investors. So let me wrap up here by saying that Williams is the best-positioned natural gas focused company in terms of our strategic balance. Our strategic position between the demand pool business and our significantly advantaged presence in key supply basins will drive continued growth and deliver solid returns despite swings in markets and commodity prices. We've seen the success of our strategy reflected quarter after quarter. And with the significant growth projects we have coming down the pike, we expect to stay on this very positive trajectory as this clean and abundant resource continues to grow our market share both here at home and abroad. So as we move to questions now, I just like to ask you to keep your questions focused on our first quarter 2016 results. We know there's a lot of interest in other topics, but that's what we're prepared to talk about today, so we'd appreciate if you'd keep your questions focused on that. And so, operator, if we could move on to questions, please?
Operator: Thank you. And we'll go first to Shneur Gershuni with UBS. Please go ahead.
Shneur Z. Gershuni - UBS Securities LLC: Hi. Good morning, guys. Just keeping my questions focused on Williams as it stands, your leverage reduction plans you've talked about in the past, asset sales was something that's mentioned. I was wondering if you can talk about what other options are on the table. Some of your peers executed a dividend cut. Has the board considered a temporary cut in WMB's dividend policy to accelerate deleveraging? I was just sort of wondering what paths you're considering in terms of moving forward with that.
Donald R. Chappel - Chief Financial Officer & Director: Shneur, this is Don Chappel. Good morning. Great question. I think our comments are consistent with our comments from last quarter. Again, we're very much focused on asset monetizations to fill the gap. The boards will continue to look at dividend policy. We certainly understand all the levers. But at this point in terms of the financing needs, it's really primarily related to asset monetizations. And as well, I'll just comment that we remain committed to seek to maintain our investment grade ratings.
Shneur Z. Gershuni - UBS Securities LLC: And does the recent improvement in Chesapeake's credit outlook, or I guess the way the bonds have traded, does that ease some of the pressure on the leverage reduction?
Donald R. Chappel - Chief Financial Officer & Director: We don't see it that way. Again, I think we're focused on getting our leverage metrics or keeping our leverage metrics at investment grade levels.
Shneur Z. Gershuni - UBS Securities LLC: Okay. And then a follow-up, ethane has been a big question as of late. I was wondering if you can comment on how your Northeastern assets will benefit from, I guess, what's been emerging but nascent recovery in ethane? And I guess if you can also comment on the other side of your business about Geismar margins, could that potentially be a drag if it recovers, or would you expect ethylene to go up faster as well too?
Alan S. Armstrong - Chairman & Chief Executive Officer: Great questions, Shneur. Let me hit the Northeast part of that question first. Our exposure in the Northeast is really as a service provider there for the most part and we are recovering ethane in there as a service to our customers there. So we enjoy throughput through both our processing and our ethane transportation systems up there and those came online I think in the end of the second quarter last year. So we continue to see improvement from that, but we really don't see too much in the way of margin exposure there, if you will. So most of our revenues there come from just the transport. The area that we're obviously more exposed to is in the Rockies and where we do have rights to the ethane there. And I'll couple that now with the question on Geismar, which is, what if ethane goes up? That's the really nice thing about our portfolio is that we're rarely exposed from natural gas through to ethylene because we're actually long ethane in our portfolio. So if ethane prices go up, we're actually going to see more margin because our length in ethane is bigger if we're in full production and, of course, we would be if ethane prices went up. Our length in ethane is bigger than our short on the Geismar side, so it'd actually be a net positive to us if we were to see that occur.
Shneur Z. Gershuni - UBS Securities LLC: Is it fair to conclude that if ethylene went up faster, then it would be a double benefit?
Alan S. Armstrong - Chairman & Chief Executive Officer: That's right. So really, the spread that you should think about us really is natural gas to ethylene when you think about our full exposure.
Shneur Z. Gershuni - UBS Securities LLC: Great. And then finally on Constitution, start date's been pushed out. It certainly sounds pretty political and so forth. What's your confidence in the new start date that was put forward? Do you really think that there's some options on the table that you can reroute or do something to address some of the concerns and get this project back on track?
Alan S. Armstrong - Chairman & Chief Executive Officer: Yeah, I'm very proud of our team. I think we did everything right there. I think we took great measures to address all the issues that were raised with us and I think we have extremely strong evidence in that regard. And so I am hopeful that science and the facts will win out in that process. And that's certainly what we're counting on. And so I think this is a little bit unprecedented from our perspective where we felt like we've dealt with all of the issues in a very meaningful manner and took very extreme measures to meet all the conditions that were requested of us. There are times when you get things requested of you and you just can't live with them because they might be too expensive or something, but that isn't the case here and we felt like we met all the conditions that were raised to us. So I think as the facts unfold on this, I think they're going to weigh in our favor. And so I think that's how we feel about it. Now, it's early in the process and we're still weighing those odds certainly. But I would just tell you as a partnership and as the operator, I've really been very closely involved in watching what we've done and our team has worked extremely hard to do the right thing. We've re-routed and re-routed and we've made changes after changes after changes to meet the conditions. And as far as we were concerned, we had asked and asked and asked and been told over and over that we had met all the things that had been requested of us. So that sat with the Governor for right at a year after we had been told that we had met the conditions. And so, we'll see. I certainly wouldn't tell you that we know for certain what that looks like, but we do think the facts are very much in our camp on this.
Shneur Z. Gershuni - UBS Securities LLC: So there's a way to formally appeal and it not get so political? Or does it involve you having to make another change and then go through the same process again?
Alan S. Armstrong - Chairman & Chief Executive Officer: I think the facts as we've laid them out, certainly if whatever the issues were raised to us such that we could address it, we'd be happy to. But I think at this point, it's really a matter of dealing with the facts that are in the permit application and taking that forward through the legal process. So that's the way we see it as we sit here today.
Shneur Z. Gershuni - UBS Securities LLC: Great. Thank you very much, guys.
Alan S. Armstrong - Chairman & Chief Executive Officer: Thanks, Shneur.
Operator: And we'll go next to Brandon Blossman with Tudor, Pickering, Holt & Company. Please go ahead.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Good morning, gentlemen.
Alan S. Armstrong - Chairman & Chief Executive Officer: Good morning.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Don, realizing that there's still a lot of moving pieces here, but with Constitution pushed out, presumably you have a decent line of sight on what 2016 growth capital looks like. Is the financing of 2016 and maybe even 2017 fully contingent on the outcome of the asset sales? And so is that a sequencing event, or is there any incremental color you can provide on debt versus equity needs incremental to those asset sales?
Donald R. Chappel - Chief Financial Officer & Director: Right now, again, we're focused on asset monetization as the financing source above cash flows. And really, no plan at this time to issue equity in light of the still relatively weak equity prices and no plan to really issue debt other than revolver borrowings.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: And any color on timing around those monetizations?
Donald R. Chappel - Chief Financial Officer & Director: We're proceeding to explore the opportunities and I would expect we'd have something to talk about this summer.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay, fair enough. Thank you. And then, Alan, on the head count trim, the 10% reduction, is there color available on the strategic impetus there? Clearly commodity prices are bad. But on the other side of the equation, demand actually is quite good. Your growth projects are still out there and arguably to be added to over the midterm. How does that workforce reduction play into the need to have folks on the ground in terms of incremental projects and that sort of...
Alan S. Armstrong - Chairman & Chief Executive Officer: Yeah, thank you. That's an excellent question. And I would tell you that really the changes that came about – and I agree with your point that, despite commodity prices, that's not really necessarily that driver. But what we did see was we saw a dramatic slowdown in the growth in the Northeast. And so all of the efforts that we had around expanding our systems in the Northeast and to a lesser degree some in the Central area have slowed down because the number of rigs that have pulled back. And if you know, we dramatically reduced our capital budget. And so, as we reduce that capital budget, it takes a whole lot less administrative effort to support all of those growth projects. And so that's really the areas that we trimmed, the growth in the supply basins. And frankly, we have been growing the company at a pretty big clip just with all of the activity going on, and $4 billion to $5 billion in growth capital a year. We have been growing the company very quickly. So it was a good opportunity for us to sit back and reset our staffing appropriately to both the slower capital investment rate and less producer activity in those supply basins. And so that's what we've accomplished. But that's a great question. Thank you.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: And thanks for that color. And then just somewhat related, more micro question, Atlantic Sunrise, the wording in the data book changed a little bit quarter-over-quarter, but it sounds like the permitting process is going at least as planned, if not slightly better. Anything to read into that?
Alan S. Armstrong - Chairman & Chief Executive Officer: No, I don't think there's anything really to read into that. I think that we are excited about the way the permitting process is going and we just want to make sure that we remain conservative enough in that effort. And we certainly are encouraged by some things that we've very recently been able to work out in some of the permitting activities. And so we're encouraged by that, but want to make sure that we're being realistic about how the permitting activities go. But as we sit here today, I mean, at this very moment, feel very good about the way the permitting activities are proceeding right now.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc.: That's all for me.
Alan S. Armstrong - Chairman & Chief Executive Officer: Thanks.
Operator: And we'll go next to Christine Cho with Barclays. Please go ahead.
Christine Cho - Barclays Capital, Inc.: Hi. I just wanted to touch upon the asset sales again. Can you guys – have you guys determined if Gulfstream would have to be sold if the deal were to close due to FTC issues?
Donald R. Chappel - Chief Financial Officer & Director: Christine, there's no settlement at this time with the FTC, so I really can't comment on that. So – but we are exploring multiple asset sales to determine the path forward. So we have a couple of options or a few options.
Christine Cho - Barclays Capital, Inc.: Okay. And then just – you guys touched upon this, but it's been a while since I've focused on the West operations. So can you remind me how the G&P contracts are structured there? Is it essentially all POP or is there some keep-whole still there?
Alan S. Armstrong - Chairman & Chief Executive Officer: Yeah. Let me have Walt Bennett answer that for you. Walt?
Walter J. Bennett - SVP-West & Management Committee, Northwest Pipeline LLC: Sure. There's a combination of contracts and the majority are definitely fee-based, but there are some keep-whole contracts and percent-of-liquids as well. And so I think the way to think about it would be about – there is some commodity exposure at about 30% of the contracts.
Christine Cho - Barclays Capital, Inc.: Okay. And then the ethane rejection that's going on in that region, is it about 25,000 barrels per day? Am I in the ball park?
Walter J. Bennett - SVP-West & Management Committee, Northwest Pipeline LLC: Well, we are now actually – we are recovering small amounts of ethane, just doing a partial recovery. And the way to think about the – if we were in full recovery would be to essentially just double the non-ethane production.
Christine Cho - Barclays Capital, Inc.: Okay.
Alan S. Armstrong - Chairman & Chief Executive Officer: So if you look at the operating data for the quarter, I mean we had somewhere around 245 million gallons of non-ethane production. And that's effectively about the same amount of ethane if we were in full ethane recovery, that's about the amount. So that can give you a pretty good picture on what our ethane rejection is.
Christine Cho - Barclays Capital, Inc.: Okay, and then just another question on kind of Geismar. When I kind of think about the Petchem backdrop with the new crackers coming on and the feedstock cost of ethane rising, isn't it possible that ethylene prices won't rise and maybe not keep its historical correlation to crude? I mean have you guys thought about whether or not maybe this asset belongs better inside a more integrated Petchem with downstream capabilities?
Alan S. Armstrong - Chairman & Chief Executive Officer: Certainly, we think that the offsetting exposure we have on the ethane is valuable to the assets, but we have made some progress back in this quarter. We made some progress on going into some fee-based business, so some ethane plus agreements for that and we continue to work on that. So I was excited to see our team pull out across the line strategically. That's where we've been trying to get that asset to and the team made some good progress on that in this quarter.
Christine Cho - Barclays Capital, Inc.: Okay. But nothing else to kind of give us? It's still early stages.
Alan S. Armstrong - Chairman & Chief Executive Officer: Yes. Yeah. I think – again, I think we're working hard to that. It seems reasonable from our perspective that if somebody's willing to go build one, a cracker, that we can sell them the capacity at a much lower cost. And so that's the basis of that marketing effort and we are having some success on that front.
Christine Cho - Barclays Capital, Inc.: Okay, great. Thank you.
Alan S. Armstrong - Chairman & Chief Executive Officer: Thanks.
Operator: And we'll go next to Craig Shere with Tuohy Brothers. Please go ahead.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Good morning.
Alan S. Armstrong - Chairman & Chief Executive Officer: Morning, Craig.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Can you elaborate on the size or relative size thus far of the ethane plus contracting for Geismar 1 and maybe the timeframe you envision for this becoming more material to derisk that asset?
Alan S. Armstrong - Chairman & Chief Executive Officer: John Dearborn, you want to take that question, please?
John R. Dearborn - Senior VP-Natural Gas Liquids & Petchem Services, Williams Partners GP LLC: Sure. Thanks, Craig. At this point, we have a part of one of our contracts with a – one of our larger contracts with a customer that is now fee-based. And I would expect that you should see us moving in the market further toward the third quarter of this year. We might have some more to be able to tell you about perhaps some further progress on our initiative to sell more fee-based ethylene at Geismar.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Great. That'd be wonderful to hear progress on.
John R. Dearborn - Senior VP-Natural Gas Liquids & Petchem Services, Williams Partners GP LLC: Yes.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: And some updates on the latest in Northeast shut-ins and curtailed gas and expectations that maybe the FERC may finally step up and exercise some authority to get Constitution over the finish line?
Alan S. Armstrong - Chairman & Chief Executive Officer: Yeah. Craig, I would just say that I suspect there will be a lot of people involved in trying to help resolve that. I think certainly, the Federal Government understands how critical that is. And I would even tell you the State of New York, the New York ISO and the power generators in New York and the businesses there understand how incredibly important that project is. So I think we'll have a lot of people weighing in on our side of that argument for obvious reasons. And so I think that'll happen. But I would say despite that, there's a number of projects that are continuing to expand and bring incremental volumes out of the area. And as you heard us mention, our New York loop on the old Laser Pipeline, which is now complete, as well as some compressor addition that we're doing to increase the capacity on that, that'll add about 140 MMcf a day. And there's a couple of power plants in the region that will also work to add incremental load in the area. And so we think that kind of debottlenecking will continue to go on. And meanwhile, we're ready to really express strongly the facts on the Constitution piece, and hopefully, that'll win the day.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Great. And last question, I understood that WPZ's a bit depressed and you've got asset sales that will fill any needs in 2016. Heading into 2017, do you see a longer line of potential monetizations? And any thoughts on the opening up of the capital markets recently for some of your stronger Midstream MLP peers, albeit at somewhat hefty issuance costs?
Donald R. Chappel - Chief Financial Officer & Director: Craig, it's Don. Thanks for the question. I think it's a bit early to comment on 2017. Again, we have a lot of options and we'll continue to evaluate what the market offers us as the best possible option and act accordingly. So, again, we'll continue to focus on growing the business and keeping our credit metrics in line and, again, look for the best opportunities as we go through this 2016 period.
Craig K. Shere - Tuohy Brothers Investment Research, Inc.: Fair enough. Thank you.
Operator: And we'll go next to Sharon Lui with Wells Fargo. Please go ahead.
Sharon Lui - Wells Fargo Securities LLC: Hi. Good morning. You talked about the 10% head count reduction. Just wondering if you can maybe quantify the potential savings from your cost reduction efforts and when you expect to realize the full benefit?
Alan S. Armstrong - Chairman & Chief Executive Officer: Yeah, Sharon. First of all, as we mentioned, we made that cut right at the very end of the first quarter. And that's about – our head count prior to that was around 6,900 in terms of our head count, so that's about 690 in terms of reduction. And that was heavily weighted towards some of our E&C space as well as in our areas of overhead with a lighter reduction in our field operating force. And so that is – you can think about that as – if you do the math on that, you can think about that as a little under $100 million of reduction, but we still are working to take that down further through some other activities and particularly on our supply chain side. And our team there's doing a fantastic job of continuing to bring in lower cost as we take advantage of a reduction in that space. So, overall, we're excited about the ability to reduce, particularly in that supply chain area. And we certainly never like to go through any kind of work force reduction around here, but I would tell you that the team did a very nice job administering that and proud of the way the organization held its head high through a difficult time there.
Sharon Lui - Wells Fargo Securities LLC: That's helpful. I guess looking at the gathering volumes in the Central segment, it looks like the volumes were relatively level sequentially after declining for most of 2015. Can you maybe provide some color on the relative performance of some of the regions in the segment?
Alan S. Armstrong - Chairman & Chief Executive Officer: I'm sorry, is your question specifically on the Central?
Donald R. Chappel - Chief Financial Officer & Director: Yes.
Sharon Lui - Wells Fargo Securities LLC: Yeah, on Central volumes.
Alan S. Armstrong - Chairman & Chief Executive Officer: Okay. Sure. Bob, you want to take that question?
Robert S. Purgason - Director: Yeah, Sharon. As you pointed out, we've had a good, stable first quarter. And we're still seeing some declines in the Barnett and the Mid-Continent, as you would expect and consistent with other activities. It's offset by Haynesville predominantly, but Eagle Ford's kind of holding in there strong, too.
Sharon Lui - Wells Fargo Securities LLC: Okay, great. And any update in terms of negotiations with Chesapeake on the rates?
Alan S. Armstrong - Chairman & Chief Executive Officer: Sharon, I'll take that. I would just tell you that we continue to work hard with them to look for win-win opportunities. And, again, we're pleased to get to do that with Chesapeake and consider them a very big and important customer. So we're always looking to find win-wins. We don't have anything specific to report on this quarter however.
Sharon Lui - Wells Fargo Securities LLC: And just a last question on the 2016 CapEx guidance. Any change I guess in that level, given the progress of some of your key projects and maybe the delay in Constitution?
Donald R. Chappel - Chief Financial Officer & Director: Sharon, really no change in our overall capital plan for 2016.
Sharon Lui - Wells Fargo Securities LLC: Okay, great. Thank you.
Alan S. Armstrong - Chairman & Chief Executive Officer: Thank you.
Operator: And we'll go next to Ted Durbin with Goldman Sachs. Please go ahead.
Theodore Durbin - Goldman Sachs & Co.: Thanks. This is more of just a modeling question. But in the NGL segment, looks like your operating costs jumped up a bit this quarter relative to the last two quarters, $94 million versus running around $71 million. I'm just wondering if that's the new run rate or were there anything sort of one-off items this quarter?
Alan S. Armstrong - Chairman & Chief Executive Officer: John, can you take that, please?
John R. Dearborn - Senior VP-Natural Gas Liquids & Petchem Services, Williams Partners GP LLC: There should not be any very unusual ongoing matters here in the first quarter. I guess the only thing I think of and I'm not sure the numbers you're referring to, I haven't looked back at the charts here, is whether this FX impact is in those numbers. That would be non-recurring into future periods.
Theodore Durbin - Goldman Sachs & Co.: Okay.
Alan S. Armstrong - Chairman & Chief Executive Officer: I would just add to that that we did have quite a bit of cost in our startup of our Horizon facility and the new Redwater facility that goes with that in the quarter. So, some of that step-up is from the startup of that new facility in Canada, the CNRL Horizon facility.
Theodore Durbin - Goldman Sachs & Co.: Got it. That's helpful. Thanks. And then I guess for Don, can you just give us a number around the leverage metric you're really looking at post the asset sale? Is 4.5 times the bogey, or 5 times or 4 times, just where you're trying to get to? And then are the agencies going to give you any forward credit for some of maybe the bigger projects that you're working towards?
Donald R. Chappel - Chief Financial Officer & Director: I would say that we're working on ensuring that our leverage metrics, rating agency adjusted metrics are below 5 times and trending lower. And we do point out the sizeable investments we're making in projects will go into service in the future. And I think that's more a qualitative point with the agencies versus the primary metric that they look at.
Theodore Durbin - Goldman Sachs & Co.: Got it. And then it was somewhat answered already, but any thought from the WMB side of things of providing support, whether it's IDR waivers or other things as you're in the higher capital spending portion here?
Donald R. Chappel - Chief Financial Officer & Director: Yeah, I'll just comment that we're in the middle of a planned merger. And in light of that, we're not going to comment on those kinds of issues.
Theodore Durbin - Goldman Sachs & Co.: Understood. I'll leave it at that. Thank you.
Alan S. Armstrong - Chairman & Chief Executive Officer: Thank you.
Operator: And we'll go next to Danilo Juvane with BMO Capital Markets. Please go ahead.
Danilo Juvane - BMO Capital Markets (United States): Thanks. Good morning. Most of my questions have been hit, but I just wanted to expand on the Geismar question. So with the incremental cracking capacity coming online, don't you see pressure to ethylene margins going forward even though you have the gas to ethylene spread?
Alan S. Armstrong - Chairman & Chief Executive Officer: Well, I would just say there is a number of derivative projects coming on as well and there's been some major outages recently from a couple of big international plants where there were some unfortunate events at some large plants overseas. And so we do think that there is a lot of ethylene capacity coming on. We also think there's a lot of derivative capacity coming on with that as well. And the U.S. really is positioned to continue to grow in its market share on a worldwide basis. And as well, something we're keeping our eyes on very closely is the ethylene export as the world continues to take advantage of the U.S.'s very low-cost natural gas-based olefins. And so we're keeping our eye on that and I think it's a reasonable question. John, I don't know if you would add any color to what I just stated there?
John R. Dearborn - Senior VP-Natural Gas Liquids & Petchem Services, Williams Partners GP LLC: Yeah, the only thing I would add there is I think it's important to recognize that we're in a turnaround season now that's going to be prolonged through the remainder of this year, which certainly is going to I think keep supply constricted a bit. The U.S. ethylene industry continues to produce at record levels each quarter and so we see it growing, but it's growing at a relatively slow rate. And I guess I would also be expecting that, as we contemplate these plants coming on in the future, the world market for ethylene continues to grow at a reasonable pace. And so long as the U.S. remains able to export, which I think Alan just indicated it would be and we believe it would be, that these plants will likely feather-in more reasonably than you might expect. Big bumps of ethylene coming on, that could have deleterious effects on the market. It will have some impact, but I do believe the plants will come on in a more feathered fashion over this next couple of year period.
Danilo Juvane - BMO Capital Markets (United States): Thanks.
Alan S. Armstrong - Chairman & Chief Executive Officer: I would just follow that just to say that remember as you run that math, remember to look at our length of ethane because if you're correct that we have that much new ethylene coming on in the U.S., the ethane margin and our assets that handle ethane are going to enjoy that as well. So, as you look in your model and try to look at that model, you need to make sure you appreciate the length that we would have if ethane were to get soaked up by all that ethylene cracking.
John R. Dearborn - Senior VP-Natural Gas Liquids & Petchem Services, Williams Partners GP LLC: And then add to that, Alan, some incremental pipeline of revenues we'd enjoy as well.
Danilo Juvane - BMO Capital Markets (United States): Got you. Got you. Thank you. My second question, if I could. With the emerging NGL fundamentals, how do you think about getting to downstream business? Before a couple years back you had the Blue Grass initiatives. As you see these fundamentals strengthen, is that something that you're thinking about potentially getting to again, say, a year from now?
Alan S. Armstrong - Chairman & Chief Executive Officer: Yeah. I would just say we have so much on our plate right now taking care of the natural gas demand side of the situation that when we think we have such huge competitive advantages on that front that that's really where our focus is going to be for the time being. Now having said that, we do continue to build out some of our purity systems in the Gulf Coast where the Gulf Coast continues to take advantage of very low cost NGLs and the Petchem expansion going on in the Gulf Coast. And of course, that's been a long-term strategy of ours to be taking advantage of the need for logistics movement around the Petchem industry, and so we will enjoy that. But I don't see us looking at any very large scale investment opportunities in the space that you reference.
Danilo Juvane - BMO Capital Markets (United States): Great. That's it for me. Thank you.
Alan S. Armstrong - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. And we have ran out of time for today. I'd like to turn the conference back over to Mr. Alan Armstrong.
Alan S. Armstrong - Chairman & Chief Executive Officer: Great. Well, thank you all very much. Appreciate all the great questions. As always, I know it's a busy day and so we're just very excited to be in the space we are on the natural gas front right now and are really seeing our strategy really starting to pay off for us. And appreciate your continued commitment to the company. Thank you.
Operator: Thank you. This does conclude today's conference. You may now disconnect, and have a wonderful day.